Operator: Good day and thank you for standing by. Welcome to the Cohu Incorporated Third Quarter 2021 Financial Results Conference Call. At this time, all participant lines are online are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference may be recorded. [Operator Instructions] I'd now like to hand the conference over to Jeff Jones, CFO.
Jeff Jones: Thank you and good afternoon and welcome to our conference call to discuss Cohu's third quarter 2021 results and fourth quarter 2021 outlook. I'm joined today by our President and CEO, Luis Müller. If you need a copy of our earnings release, you may access it from our website at cohu.com or by contacting Cohu Investor Relations. There's also a slide presentation in conjunction with today's call that may be accessed on Cohu's website in the Investor Relations section. Replays of this call will be available via the same page after the call concludes. Now, to the Safe Harbor. During today's call, we will make forward-looking statements reflecting management's current expectations concerning Cohu's future business. These statements are based on current information that we have assessed, but which by its nature is subject to rapid and even abrupt changes. We encourage you to review the forward-looking statements section of the slide presentation and the earnings release as well as Cohu's filings with the SEC, including the most recently filed Form 10-K and Form 10-Q. Our comments speak only as of today, October 28, 2021 and Cohu assumes no obligation to update these statements for developments occurring after this call. Finally, during this call, we will discuss certain non-GAAP financial measures. Please refer to our earnings release and slide presentation for reconciliations to the most comparable GAAP measures. Now, I'd like to turn the call over to Luis Müller, Cohu's President and CEO. Luis?
Luis Müller: Thank you, Jeff. Good afternoon everyone and thanks for joining us. Third quarter revenue was approximately $225 million and that was up 49% year-over-year on strong demand for test and inspection systems. Earnings per share were in line of expectation at $0.70 and adjusted EBITDA, 21.8% was up over 850 basis points year-over-year, underscoring the significant growth in both revenue and profitability. Cohu remains on track for a record year with revenue forecast up approximately 40% in 2021. We continue the deployment of our DI-Core, data analytics software with following orders from key automotive customers design win in the second quarter, as well as expansion to several new automotive segment customers in the third quarter. As a reminder, Cohu's data intelligence for DI-Core for short, is a suite of software solutions that provide real-time equipment monitoring and process control to improve overall equipment efficiency or OEE and productivity. Customers can monitor critical equipment parameters such as yield, OEE, throughput, and other equipment state to ensure optimal test cell performance. DI-Core software also interfaces with customers manufacturing execution systems for remote equipment control, recipe, and lot management. As the need for data analytics grows, we plan to continue expanding DI-Core offerings to help improve quality and yield and to continue to increase value-add differentiation of our systems. We're essentially enabling our customers to upgrade the large install base of Cohu equipment to improve efficiency and productivity. We estimate the market for DI-Core Analytics to be around $170 million with high customer interest particularly in the automotive semiconductor segments to increase in optimize productivity. The DI-Core is a software solution and thus, a 90% plus gross margin product expansion for Cohu. Now on the test-cell business, we are encouraged by the growth of our DiamondX universal platform into power management, display driver in RF applications. Cohu offers today a unique solution, for tested inspection of high performance RF devices, deployed in satellites and ground based transceivers. Our test-cell deliver advanced microwave RF measurement performance with integrated solutions for device under test ensuring accurate signal integrity and temperature control. The global small satellite market is projected to grow at 20% CAGAR through 2025 and Cohu is at the forefront of supporting well known customers on their endeavourer to deploy low orbit satellites, to create a global broadband communication network. With estimated test cell utilization of 87% at the end of September, we're encouraged by the momentum and customers forecast for test, inspection and metrology equipment and interface products entering 2022. Mobility customers are forecasting and starting to drive demand for another wave of equipment for high-frequency RF test, uncompressing capabilities for 5G, Sub-6 gigahertz, Wi-Fi 7 and even millimeter wave of applications in the first half of 2022. There's a global shortage of power management devices that are limiting electronics manufacturing and Cohu is positioned to help customers address this growing demand and also support the expansion of high performance computing applications. Our vision systems particularly the new neon platform, continues to capture new customers and expand applicability beyond our original expectations, driving Cohu's inspection and metrology revenue to a projected $70 million in 2021. The automotive market seems to have passed the initial recovery cycle post-pandemic in 2020, and now reaching a new normal demand level that is largely supporting growth in battery management systems for electric vehicles and ADAS processors and sensors. Cohu is well positioned in automotive with a broad portfolio of thermal handlers and interface contactors to address a variety of test requirements, from automotive processors to high power management ICs. We have also made significant progress in operations increasing in sourcing and productivity at our Philippine contacts or manufacturing facility, yielding a significant 410 basis points gross margin improvement from Q2 to Q3 in our contractor business. As the contractor business grows, and gains momentum in 2022, this is expected to be a significant contributor to our margin expansion toward the midterm target of 48%. Additionally, we completed the implementation of price increases to our handler product lines that largely offset gross margin erosion seen in the second and third quarters. Consequently, regarding fourth quarter margins up to 44%, despite continuous trends in mix favoring handlers, we expect mix to shift in first half of 2022 to our less handlers and more testers with concurrent growth of our contacts or business in line with plans to our Cohu’s mid-term targets. Switching topics, the supply chain continues to be extremely tight in material shortages and logistic issues dominating the headlines. Cohu has taken steps to get ahead on inventory and make sure we can continue supporting customer’s capacity expansion plans, and the introduction of new device technologies. Our business model is working, Cohu is delivering solid profitability and projecting a strong baseline EPS and cash flow during the typical seasonally low fourth quarter. Equipment lead times remained largely unchanged from a quarter ago with handlers averaging 18 weeks and testers about nine weeks, contactors and spares about six weeks. Looking ahead, we are encouraged by our design wins and product traction in key growing segments, and we're equally optimistic about our gross margin improvements in order forecasts in the fourth quarter. With so much investment going into wafer fab equipment we’re enthused about the mid-term growth for the semiconductor test and the need for greater inspection and metrology in support of new advanced packaging technologies. Let me turn it over to Jeff to share third quarter results, provide specifics about our fourth quarter guidance, and describe our Board's authorization for a share repurchase program. Jeff?
Jeff Jones: Thanks Luis. Before I walk through the Q3 results and Q4 guidance, please note that my comments that follow are referred to non-GAAP figures. Information about the non-GAAP financial measures, including the GAAP to non-GAAP reconciliations and other disclosures are included in the accompanying earnings release investor presentation, which are located on the investor page of our website. Now turning to the financial results, Cohu again delivered strong revenue and profitability in the quarter. Q3 revenue was $225.1 million, an increase of 49% compared to Q3 of 2020. During the third quarter, two automotive segment customers each accounted for more than 10% of sales. In the third quarter, Cohu’s gross margin was 42.3% and in line with our guidance, operating expenses were $49.5 million and lower than guidance due to some one-time credits and tight management of expenses. Third quarter non-GAAP operating income was 20.2% of revenue and adjusted EBITDA was 21.8%. Return on invested capital in the third quarter was 51%, well-above target ROIC of 30% or higher. Cohu’s non-GAAP effective tax rate for Q3 was approximately 19% higher than guidance primarily due to lower income generated in the US combined with higher income generated in Germany, which is subject to statutory tax rates higher than the US. Non-GAAP EPS for the second quarter was $0.70, bringing our nine month year-to-date non-GAAP EPS to $2.48, more than double full year 2020 results and illustrates the earnings leverage in the business model. Now, moving to the balance sheet, the Q3 balance sheet reflects a net cash position with increased resources for accelerated debt reduction, investment and opportunities to expand our served markets and technology portfolio in line with our growth strategy and a newly authorized $70 million stock repurchase program to return capital to investors, offset dilution from our equity plans, and express confidence in Cohu’s future growth prospects and cash generation. The ending cash balance for the third quarter was $365 million, which is net of debt repayment totaling $101 million during the quarter. The balance sheet reflects net cash of $245 million, as total debt at the end of Q3 was reduced to approximately $120 million. The term loan be outstanding balance at the end of Q3 was approximately $103 million. Cash flow generation was solid again in Q3 with free cash flow at approximately 14% of revenue. Now moving to our Q4 outlook. Entering the typical seasonally low Q4, Cohu’s business model is projecting to deliver strong profitability on revenue between $182 million and $195 million. Some customers have pushed new test capacity into 2022 due to shortage of wafers and lead frames impacting their semiconductor production. We expect first quarter sales to be incrementally stronger based on current order momentum, and assuming our customers successfully work through their supply chain shortages. Q4 gross margin is forecasted to be approximately 44%. And as predicted, we're seeing a moderation of automotive test handlers improving product mix, and solid cost reductions in the manufacturing of contactors. Recurring revenue for Q4 is projected to be approximately 41% of total sales and approaching the 45% mid-term target. Q4 operating expenses are projected to be approximately $51 million. And we're projecting Q4 interest expense to be approximately 900,000. We anticipate Q4 debt repayment to be in the $1 million to $7 million range based on cash forecasts including after anticipating potential share repurchases in Q4. We expect Q4 adjusted EBITDA at the midpoint of guidance to be approximately 19% and the Q4 non-GAAP tax rates approximately 14% at the midpoint of guidance. But diluted share count for Q4 is expected to be approximately 49.5 million shares. That concludes our prepared remarks and now we'll open the call to questions.
Operator: [Operator Instructions] Our first question comes from Brian Chin with Stifel.
Brian Chin: Hi, there. Good afternoon. Nice results in a tough operating environment and thanks for letting us ask a few questions. Maybe first just a quick ones. Jeff or Luis, how much of the four key declines, is seasonality versus supply constrained, which you kind of reflected in that push to Q1 for some customers?
Jeff Jones: Yes, we know for sure it's not, you know, somewhat difficult to understand the full impact, but we know for sure is about 4 million that has been delayed out of Q4 into 2022.
Brian Chin: Got it. And I think you said incremental, based on your backlog visibility. Yes, an incremental sequential growth into Q1, can you put any sort of parameters around what you're seeing relative to backlog thus far in terms of demand to increase?
Jeff Jones: Well, I mean, I can't speak to that incremental comment. First, Brian, it's, you know, when we look at Q1, right, we are currently we're seeing current order momentum that is that is increasing. So let's say that, assuming that continues, and customers successfully work through the supply chain constraints, you know, Q1, could be 5% to 10% increase over Q4.
Brian Chin: That's helpful. And I guess maybe, perhaps even more importantly, in terms of the next and sort of the progress we're making on the gross margin front, in terms of initiatives as well as sort of a more normalized next to some degree, right? Maybe first, can you give us a sense of what mainly drove this driving the 170 basis points of sequential improvement in Q4 and then also kind of moving into first half, you alluded to tester demand potentially coming back, handler business sort of normalizing lower, further improvement on the contactors, there's some price increases on the handlers, a couple piece if I am missing, but maybe think about how much of the gap you can, you know, if revenue is, you know, Q1, this, I'm going to throw a number out, if it's 200 million in Q1, relative to what the target model was just with, I think something like a 46 or somewhere in that territory, on the gross margin, how much – how much can you start to narrow that, close that gap in first half?
Luis Müller: Okay. All right. There's a lot there, Brian. So let me do my best. And you can remind me of some areas that maybe I don't touch on. In terms of the expansion, gross margin into Q4, a couple of main areas here. One is the insourcing of more contact or manufacturing in the Philippines. We saw some great success in Q3 and increasing the gross margin. So we see that continuing, we continue to add more – more insourcing, if you will, into the Philippines, so its going to increase our utilization and productivity, lower the costs. We're going to continue to see higher contact and gross margins, again, targeting about 45% second half of the year for contact or gross margin. The other piece of it is, as I mentioned in my comments, the moderation of the auto – of the automotive handler revenue. And so an overall more favorable mix of products. Now, we're not where we need to be in the – in the target model, but we're getting closer to it. And we're seeing a favorable impact price increase on handlers, not a 100% effective yet, as we work through backlog and long-term contracts with customers, but it has been effective to at least offset cost increases. So as we look into 2022, as you mentioned, we do see a mix that has higher tester roof revenue, continuing to grow contractor revenue and the gross margin there. So we're modeling internally that 2022 is going to be from a gross margin perspective would be in the mid-40% range. I would say if you're looking specifically at Q1 projection, there would be maybe about a 50 basis point or so improvement over Q4 on gross margin.
Brian Chin: Great, that's really helpful. I'll hop back in the queue for other folks.
Luis Müller: All right, thanks. Thanks, Brian.
Operator: Our next question comes from Craig Ellis with B. Riley securities.
Craig Ellis: Hey, guys, thanks for taking the question. And nice to see the gross margins moving back up again. I wanted to start just by asking a clarification question on revenue, I think three months ago, one of the messages was that there was 14 million of handler sales that it pushed from 3Q to 4Q. So as we look at the fourth quarter guidance and what's embedded one did, did those revenues actually shut down and is the 14 million included in the guidance that we're seeing today?
Jeff Jones: Yes, just a correction on that Craig. That 14 million caused by suppliers that were under control movement orders. We knew that we wouldn't catch that up in Q3. And that would filter through Q4 as well thought we'd be caught up sometime in the year beginning of next year. So it was not a takeout of Q2 and put in to Q3.
Craig Ellis: Yeah, I thought it was out of Q3 and into future quarters yet.
Jeff Jones: Yeah, right.
Craig Ellis: Do I have the periods run there Jeff or?
Jeff Jones: No, no, no. That's correct. I mixed up the quarters.
Craig Ellis: Yeah. But your point is, you didn't expect to recapture at all in both quarter and would be recaptured for Q1.
Jeff Jones: Yeah.
Craig Ellis: Okay, got it. Got it. Okay. So that's helpful. Secondly, given everything that we've seen happening in the automotive supply chain, centered around COVID issues with Asia manufacturing disruptions, Malaysia etcetera, what impact did that have on the third quarter for the company? And to what extent is that also impacting guidance excluding the 4 million that you mentioned earlier? That may or may not be related to that in revenue?
Luis Müller: Well, the -- let me take that one, Craig. The
Craig Ellis: Yeah.
Luis Müller: You're right automotive customers have had some -- had supply chain shortages. And it's embedded as part of the numbers that Jeff quoted here, the sort of the $4 million pushing out to next year, as they're having their disruptions right. They're the predominant driver of that, actually. Yeah, I mean, I think to the point of your question, that's about it. I think that's an element.
Craig Ellis: Yeah. And then I wanted to go back to gross margin. So it was great to see the increase in in recurring gross margin in the quarter. And it sounds like Jeff, that since that's based on utilization increases and yields in the Philippines, that's a structural gain. And so the question is, from that 52% level, is there further upside you can achieve on that as volumes rise through the year as your mix normalized this in its. So to what extent can gross margins in recurring rise from where they are today?
Jeff Jones: Yeah, I would talk first about the contractor gross margin. As you know, all of the contractor revenue is considered recurring. And we're going to exit 2021 where it's about a 40% gross margin and contactors expecting that to be about 45% second half of next year. So that'll have an impact on the overall recurring margin. But I think it's important to look at that element first. And then of course, on a higher base of revenue, it'll increase that overall gross margin, but not to the same extent that the contactor gross margin will grow.
Craig Ellis: Got it. Okay. And then lastly, just looking at the backlog and some of the color you're providing very helpful, Jeff to get the color on the first quarter. But beyond the first quarter, any sense for what the contour of the year would look like? Are you getting the sense from your customers that if we -- as we've reached this more normalized level in automotive, for example, that we could be back to an environment where we see more normal seasonality, or are there other things that might give us a different profile that you're starting to hear? Whether it be from your test customers, your handler customers, etcetera?
Luis Müller: Yeah, let me think on this one and Jeff, feel free to add. We are -- it's a little too early to comment on the balance of the year. Craig, we're rolling up the plan for next year right now. We can comment better on into the visibility we have in the first half of the year because there's already a lot of dialogue with customers for production requirements in the first half. And we do see a lot of dynamics around RF front end IC test coming up again an investor demand profile for a tester business improving. Concurrently, we see growth in the context of business, I think we're ready to discuss that, we are progressing quarter-on-quarter both in terms of revenue as well as improvements in gross margin. On the handler side, what I think is happening is the – the automotive segment has moderated down again past the sort of recovery demand and the first half of 2021 from a very constrained, very much constrained environment in 2020. And what we see today is, is a much stronger demand from automotive customers producing Battery Management Systems and ADAS processes, sensors. In a plethora of other devices, true, but those are taking the headlines. As far as seasonality, I think we're back to seasonality, we haven't seen this I think for a couple quarters now to expect seasonality to resume in the second half of this year. And I think this is this is where we're at. We are seeing a seasonally lower fourth quarter as typical. The difference is the company has a much, much stronger business model now on a lower fourth quarter. And we expect, expect next year to you know, demonstrate the normal seasonality which is a ramp towards a stronger second and third quarter, before it typical slowdown in fourth quarter next year again. But we don't have that totally rolled up yet June to discuss more. So that first half is looking strong in the mixes, shifting as we describe.
Craig Ellis: Real helpful color Luis. I'll jump back into the queue, guys. Thank you.
Operator: Our next question comes from Tom Diffely with D.A. Davidson.
Tom Diffely: Yes. Good afternoon. Thanks for the question. I was hoping to get a little bit from you on your view of the 5G of the RF tester market. In terms of whether or not you think that the build out over the next couple of quarters will be similar to what we saw a year ago. And then maybe beyond that, where do you think we are in this multi year build out of 5G?
Luis Müller: Hi, Tom. Yes, I think I think you will actually we saw a demand ramp for test to support approximately, if I'm not mistaken, it was approximately 250 million 5G phones at the end of 2020. And then, that that ramp, though, happened quite late in the year. Probably because of pandemic concerns in the first half of 2020. And then we're looking at 2022 as another 250 million phones that are 5G enabled. So we expect them to build up to be very strong again. More importantly, I would say we have had some design wins in the last in the last year and a half that we expect to generate incremental dollars for us next year. So yes, we're looking very optimistically for it for a strong RF front and IC ramp.
Tom Diffely: Okay. Great. And then switching gears a bit here, when you look at different regions throughout Asia, where you're exposed and maybe specifically the Philippines. What has been the impact of COVID? Over there recently? And have you seen any labor shortages or labor impact?
Luis Müller: No, we haven't. The Philippines -- our Philippine factory is running full capacity. We haven't had any bumps since, I think it was first half or even each of the middle of last year when things were complicated in Philippines. We don't have many, many suppliers in the Philippines. It’s is actually a fairly narrow supply chain for us, so not a supply chain problem. Our factory like I said, it's fully operational. And our customers in the Philippines are taking products. So right now totally transparent, no issues over the Philippines.
Tom Diffely: Okay, that's great. And then finally, on the DI-Core, I think last quarter, you said it was a fairly small market for you today. What do you think it becomes a meaningful piece of your business? 
Luis Müller: Yeah, it's a very difficult to answer questions Tom we -- we're essentially crawling into it. Looking lots of small numbers here, we're looking at close to a $1 million of revenue this year. Probably at double two -- we're really good maybe a little bit more than double that into next year. So it will continue to be a small revenue profile for the next couple of years for sure. Nevertheless, it is a -- as I said on prepared remark, it is softer. So it's essentially 90 plus percent gross margin product sale. Revenue will increase is not only as we succeed in demonstrating to customers but succeeding in developing and delivering new capabilities. We intend to move to a subscription model on the new capabilities next year. And it will obviously, augment the differentiation of our products and augment our recurrent revenue stream. But I think from a top line perspective, it would still be kind of single digit low to mid single digit for the next two to three years.
Tom Diffely: Okay, great. Well, thank you for your time today.
Luis Müller: Thanks.
Operator: Our next question comes from David Duley with Steelhead Securities
David Duley: Good afternoon. And thanks for taking my questions. Just a couple of housekeeping questions, I guess, could you help us understand what you think the size of the contactor market is in 2021. And then what you think the growth rate of the overall market is? And then along that same topic, maybe tell us what your market share goals are currently for the next couple years.
Luis Müller: So the obviously the market forecast information for 2021 is not out there yet. But we're going to venture to say it's around $800 to $850 million for contractor market that we can address. The market is growing, I mean, overall trend line looks like about a 7% CAGR from the last projections that I have seen in the contractor space. We've been looking at this, as I said, in prior quarters more as an attachment rate story. What is the attachment rate in contactors? Unfortunately, as we discussed in the past, the attachment rate has been calculated on a quarter to quarter basis, which we tend to have quite a bit of volatility from the from the equipment sales. So we took a look back and doing more of a weighted average, it approximates to 29% attachment rate today. And our goal over the midterm is to grow that to 50%. That's our aspirational goal.
David Duley: Okay. And then, you mentioned that there was some ASP increases in some of your handler products. Where are we on recognizing that benefit? It usually takes some time. You have to run through the current backlog usually before you hit and recognize the price increases. May be just helped me -- help us understand, how much of that has been captured already and how much it is to be captured?
Luis Müller: Hey, Dave, yeah, you're absolutely right. It rolls in really based on how much backlog is left, and as new orders come in for customer. So as I said, it's been effective, it was effective in Q3, essentially to offset costs. We're going to see a small, additional improvement in Q4, call it 25 to 50 basis points. And then as we enter into Q1 of next year, more customers are subject to it, so about 100 basis points from that point on.
David Duley: Okay. And then could -- just help us understand a little bit more. Other people have asked about this, but my phone was kind of fading in and out. So, when we think about the gross margin progression next year from the Q4 level that you've guided to, if these things happen, like you said, and let's just say the revenue environment is a normal seasonal environment. What would you expect the gross margin trajectory be to the middle part to the end of the year? Can we get 46% or 47% by year end, or what do you think?
Luis Müller: Yeah, Dave, I mean, I would kind of phrase it as mid 40s. And that to me means that 46% is achievable. Our midterm target is 48%, right? And that's over the three year time horizon. 47%, I think might be a bit aggressive. But I think based on what we see out of the contactor business, reducing costs there, growing revenue and expectations for testers and I think I'm comfortable with 45%, 46% being achievable in those strong -- seasonally strong quarters.
David Duley: All right. Thank you.
Luis Müller: Thanks, Dave.
Operator: Our next question comes from Krish Sankar with Cowen.
Unidentified Analyst: Hi, this is Bob Mertens on behalf of Krish. Thanks for taking my questions. First, because you provide some more clarity on the breakout of the automotive business, is there any way to bifurcate between ED and ADAS or sort of how the margins are overall, within the business line? And then I have a follow up.
Luis Müller: Yeah, let me think the first part of the question. I’ll let's Jeff address the second on the gross margin. So it's not an exact science. But we -- the way we tally, we're measuring about 30% of our automotive handler demand to be in the third quarter, should be associated with a combination of battery management and ADAS, not breaking down in the vast majority of death, by the way, is battery management. ADAS is a small portion, but in aggregate, about 30%, of close to one-third of our handlers.
Jeff Jones: So, Robert, on the margin, I won’t go into too much detail about the specific units. But I would just say that we presented in the deck today that systems gross margin for the quarter was 37%, recurring was 52%. I think one more one more piece of data would be that overall -- the overall margin for handlers was about 40%.
Unidentified Analyst: Great. Thank you. That's helpful. And then just a last one before I hand it over. Just in terms of your pricing, do you typically have it under contract and sort of a step-wise function, or how should we think about the recent price increases and going forward, if costs continue to rise?
Luis Müller: Well, we have gone to our press -- our handler customers and issue that essentially a price increase. Now, it's not applicable to some customers, because there's long-term contracts and pricing is set for that period of time. And other customers have already ordered and so we had a backlog of handlers. But once we get through the backlog and new orders are placed, it's not 100% across the handler orders, but it's a majority of them, that new orders will be placed with that price increase. And so that's why we see the offsetting impact against the increasing costs incremental with each quarter. And as I said, as we get into Q1, we're closer to the full effect of it, perhaps 100 basis points impact in the quarter.
Unidentified Analyst: Great. Thanks. That's all from me.
Operator: Our next question comes from Christian Schwab with Craig-Hallum.
Christian Schwab: Hey, guys. So, most of my questions have been asked, but just a quick one. We have a lot of different fabs, in particular, legacy nodes adding capacity where you historically have been very strong. As we kind of think about the multiyear layout of wafers starts ramping more materially and all these new fabs, when would you expect that to impact your results since it sounds like in next year, you kind of expect to return to normal seasonality? Is any of that capable of offsetting typical seasonality and a go-forward basis, or am I thinking about that wrong?
Luis Müller: Hi Christian, I mean, that's -- it really is going to happen across time, right? If you look for -- talking trailing edge nodes, Texas Instruments seems to be on the forefront of actually ramping trailing edge node capacity, larger for automotive and industrial applications and I think it's public knowledge. They have new assembly test sites coming online in 2022 -- beginning of 2022. But many of the others are a trailing that and looking at capacity additions that would start influencing 2023 and even late part of 2023. So, I think it's -- there's not a singular point in time, it's going to spread out over time. As to whether that's going to buck the trend on seasonality? It's a yes. Honestly, I don't think so. I don't think so because I think that seasonality is going to be driven really by end market demand, end consumer demand more so than the capacity additions. I think the capacity additions are more of a statement of confidence that the end market demand is increasing, that the semiconductor proliferation is increasing. For example, I was talking to an Executive a couple of days ago about the semiconductor content in vehicles and what they used to supply when this individual got into the company and what they supply today. And it's just an incredible ramp of semi content in cars. And I think there is a very strong belief, not wrong, as you can all read that, that is going to continue over the next few years. So, I think the trend is positive. The seasonality is likely to be driven by end market demand and I don't think capacity will necessarily bought that. But that's just my opinion.
Christian Schwab: Great. No other questions. Thanks, guys.
Jeff Jones: Thank you.
Operator: [Operator Instructions] Our next question comes from Charles Shi with Needham & Company.
Charles Shi: Hi, Luis and Jeff. I'm asking questions on behalf of Quinn Bolton here. So first off, I want to start with your tester, the trend line of tester revenue growth. It looks to me, the third quarter you may have a little bit of moderation in terms of the tester revenue. And is that kind of like normal seasonality there? Do you expect the second half tester revenue kind of lower than the first half given how strong the first half was?
Jeff Jones: Yes. I think that's right. That latter statement is correct. Customers took a lot of equipment Q4 of 2020 through Q2 of this year. I think as we discussed on our Q2 call that those customers essentially taking a pause. And so we're seeing softer tester business in the second half of this year. Thing as Luis indicated, conversations with customers are indicating that we're looking at a next phase of a ramp here for RF test coming in the first half of next year.
Charles Shi: Got it. Got it. This maybe pushing you a little bit harder understanding the tester revenue trajectory going forward, is that first half you expect tester demand to be strong? May I ask the stronger relative to second half 2021 or stronger than first half 2021?
Jeff Jones: I would say definitely relative to the second half of 2021. Yes. And we'll get into more details when we get there -- as it compares to first half of 2021.
Charles Shi: Yeah. Obviously, I know, we’re probably still a little bit early to really pinpoint what the first half 2022 numbers is like. Maybe a little bit on gross margin, you sort of mentioned mid-40s gross margin for next year, maybe something like 46%, maybe in reach 47%. How much of that from what you see today can be driven by a little bit favorable product mix, maybe you've got a little bit more testing next year, a little bit more contractor, which you are steadily improving gross margin from first half this year to the fourth quarter. Just want to understand the product mix side of the puts and takes in terms of the gross margin improvement into next year. Thank you.
Jeff Jones: Yes, Charles, for sure. The product mix, as you described plays a role in expanding the gross margin. And we're -- the confident that we're going to continue to grow the contactor revenue as well as increase that gross margin that’s a key points of our strategy not only for growing revenue, but also gross margin and profitability. The other strategic point is growth of the tester business. Those margins gross margins are very good. And so the strategy and approach is to grow that tester revenue and as we do that and maintaining handler -- our handler position and handler revenue, we will see an improvement in product mix from a gross margin standpoint. Now, when I spoke earlier about the seasonally strong quarters for 2022 we’re talking about a 45%, 46% gross margin. Again, we haven't sort of mapped out our 2022 annual plan yet, but -- I would say based on what I've seen so far in the confidence I have in the model that the growth in testers and contactors, I would expect in those strong quarters in 2022 to be somewhere as I say, mid 40s. 47 might be kind of pushing the edge but 45, 46 is a little more comfortable with that for those strong quarters.
Charles Shi: Got it? Got it. Maybe last question from me, Luis, this is for you, you get very good industry level color as always. I want to -- I noticed you mentioned the – power management IC being one of the top kind of shortage components, semiconductor components so far. And it looks to me we've heard that power management IC investment in terms of new capacities is going still be very strong for next year. Can you just give us overview how your products are exposed to this part of the market? What drives is driving the testers or handlers or contactor side? Thank you. That's, that's all from me.
Luis Müller: Okay. Yeah, Charles, let me start from the end. We obviously do have contactor product lines for small power management IC applications and are going all the way up to high voltage, high current application. So the whole gamut of P-Mix devices. And again by that I mean, small P-Mix that go into mobile phones to very large power devices. I wouldn't call them P-Mix I will call them power discrete actually, they may go on industrial applications, trains, you name it that's sort on the contractor side. Handlers, very much the same. We have small P-Mix applications running in our current handlers and we have very large bottom management devices running on gravity feed handlers also infer it for non-good dye, farm management applications. And looking here at also march that from silicon carbide. When it comes to the tester business, I would say we're much more narrow focus on small P-Mix devices, small power, small applications, more mobile in nature, not so much the high voltage, high current, not silicon carbide, for example, not MOS FETs. But more so the small P-Mix solutions on the tester side. Hopefully that covers it from all three product lines for you.
Charles Shi: Yeah, thank you.
Operator: Our next question comes from Craig Ellis with B. Riley Securities.
Craig Ellis: Yeah, just two follow ups. First, just a lot of conversation today about the pricing action that's been taken on the handler side of the systems portfolio. And it's nice to see that. But the question is, strategically, have you thought about pricing action in other parts of the portfolio? And since you're doing it in handlers, why wouldn't you try and execute it elsewhere as well?
Luis Müller: Well, Craig, this is Luis. What we've done here is essentially repass cost increases to our customers. We're not going out to gouge customers in try to obtain more money unless obviously, we have the product differentiation, we will price based on the value of the product. And, you know, this year what we seen is essentially a cost increase on components that we use in our handler products, be it off the shelf components, motors, sensors, control boards, as well as some manpower for sub assemblies are at our contract manufacturers. And we took those cost increases. We rolled up and as soon as we had enough understanding of the value of it, we had a conversation -- we sat down had a conversation of our customers to repass that. And we understand we're also not unique in doing that our competitors seem to be doing the exact same in even some lateral businesses in the semiconductor space. But we're not -- we're not pushing, like I said, unless we have the differentiation. Obviously we're not pushing for higher value. We're not pushing for price increases where we don't see cost increases.
Craig Ellis: Okay. And is that the point there -- then, Luis that you just haven't seen that much of a bomb cost increase with testers are the broader market dynamics different in testers. So would not allow you to make such a move even if you had a similar such cost increase?
Luis Müller: Yes, that is correct. We have not seen that level of cost increase on the tester side.
Craig Ellis: Okay. And then lastly, because you mentioned and included in the press release the 70 million share repurchase program. I just wanted to give you an opportunity to talk about how you might go after that whether it's in the fourth quarter or in coming quarters and how you how you plan to execute on that repurchase?
Luis Müller: Craig, we're going to start with opportunistic buying here, as early as next week. Soon thereafter, we'll put a 10b five, one plan in place with different pricing parameters and, and let the purchasing happen, you know, essentially automatically, if you will. So that's sort of the mechanics of it. It's probably obviously, why we put it in place. We truly believe a company is undervalued, wanted to take some action on that. Very confident in cash flows moving forward. Also would like to say that this doesn't mean that we won't be doing acquisitions. We've sized it so that we believe we can continue, obviously pay down debt, make investments, do acquisitions, and we believe with cash generation, we, we project that we can also return some capital to shareholders send a message to the market about how confident we are in the company.
Craig Ellis: Got it. Jeff, Luis, thank you very much.
Luis Müller: Thanks, Craig. Operator: I’m showing no further questions in queue at this time might. I’d like to turn the call back to Jeff Jones for closing remarks.
Jeff Jones: Thank you. Before we sign-off, I just like to say that we'll be attending the following conferences; Stifel Virtual Conference on November 11; The Craig-Hallum Virtual Conference on November 16, CEO Summit which will be held in person on December 8 in San Francisco, and the D.A. Davidson Virtual Conference on December 15. If you'd like to attend any or all of these events, please reach out to your respective banking and/or conference contacts to arrange a meeting with Cohu. I look forward to speaking with you soon. Thank you for joining today's meeting. Today's call and have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.